Operator: Good day, ladies and gentlemen, and welcome to CSPi's Fiscal 2025 Third Quarter Results Conference Call. [Operator Instructions] It is now my pleasure to turn the call over to your host, Michael Polyviou. Michael, the floor is yours.
Michael Polyviou: Thank you, Tom. Hello, everyone, and thank you for joining us to review CSPI's financial results for the fiscal 2025 third quarter ended June 30, 2025, as well as recent operating developments. Today with me on the call is Victor Dellovo, CSPi's Chief Executive Officer; and Gary Levine, CSPi's Chief Financial Officer. After Victor and Gary conclude their opening remarks, we'll then open the call for questions. During the Q&A session, we ask participants to limit themselves to one question and one follow-up question and then requeue if you have additional questions. Statements made by CSPI's management on today's call regarding the company's business that are not historical facts may be forward- looking statements as those identified in federal securities laws. The words may, will, expect, believe, anticipate, project, plan, intend, estimate and continue as well as similar expressions are intended to identify forward-looking statements. Forward-looking statements should not be meant as a guarantee of future performance or results. The company cautions you that these statements reflect the current expectations about the company's future performance or events and are subject to several uncertainties, risks and other influences, many of which are beyond the company's control that may influence the accuracy of the statements and the projections upon which the segment and statements are based. Factors that may affect the company's results include, but are not limited to, the risks and uncertainties discussed in the Risk Factors section of the annual report on our Form 10-K and the quarterly report on Form 10-Q filed with the Securities and Exchange Commission. Forward-looking statements are based on the information available at the time those statements are made and management's good faith belief as of the time with respect to future events. All forward-looking statements are qualified in their entirety by this cautionary statement and CSPi undertakes no obligation to publicly revise or update any forward-looking statements, whether as a result of new information, future events or otherwise after the date thereof. With that, I'll turn the call over to Victor Dellovo, Chief Executive Officer. Victor, please go ahead.
Victor J. Dellovo: Thanks, Michael, and good morning, everyone. Our fiscal third quarter revenue was $15.4 million, representing an 18% increase over last year third quarter revenue. It also represents 18% sequential increase over our prior quarter and illustrates the building momentum our business segments are generating in the market. Our Technology Solutions segment is currently driving our revenue growth as in the High Performance Products segment, we continue to build awareness and more importantly, significant deal pipeline for our highly differentiated AZT PROTECT cybersecurity offering. Midway through the fiscal fourth quarter, the momentum is continuing, and we believe that if current trends continue, we'll be able to grow both top and bottom line for the full fiscal year. Our managed cloud business provides customers with customized managed infrastructure solutions, moving their technology and data management to the cloud and continues to exceed our expectations. We have signed significant -- gained significant traction in niche markets, including the container shipping industry. Recently, one of our customers increased our involvement with their operation to provide cloud services to their headquarters after we built a hugely successful track record with their vessels. TS has experienced strong momentum in the cloud initiatives, driven by successful execution over 20 active projects in the span range from industries and use cases. The growth reflects the company's strategic focus on delivering secure, scalable and high-performance cloud solutions tailored to clients' needs from infrastructure modernization to advanced cybersecurity services. By leveraging its deep expertise and strong customer relationship, TS has been able to rapidly expand its cloud portfolio, enabling organizations to accelerate digital transformation and achieve greater operational agility. The breadth and diversity of these active projects underscore TS' ability to meet complex technical demands while positioning itself as a trusted partner in the evolving cloud market. Overall, the TS business generated strong revenue growth and demand remained strong during the fourth quarter. In the High- Performance Products, or HPP segment, our AZT PROTECT continues to build momentum in the operational technology marketplace. During the fiscal third quarter, working through our Gold Star Rockwell Automation resellers, we deployed new customers in steel, concrete and lumber industries. In most cases, the customer who is deploying AZT PROTECT at an individual site and through successful implementation of our solution, we pursue expansion within the organization, creating a potential for 5 to 6 figures long-term relationships with these end-user customers. We have settled on a land and expand sales approach with the feedback from our resellers. So what does that mean by land and expand in the steel industry? We recently signed the first customer, one of the U.S. largest steel producer mill sites. The customer love our ability to lock down the environment and already have seen success in stopping an unintentional update that could have taken down the mill production. We have called this feature industrial control lockdown as we built a track record, at that time, we have gained trust and traction with other plants within the company operations, especially now that we have internal reference plant is willing to vouch for us. Over time, this could result in a significant company-wide relationship for us. This approach is broadening our deal pipeline for AZT, which continues to offer our operational technology marketplace a unique effective cybersecurity industrial control solution. This is the same process in which we secured a multimillion dollar opportunity within the global pharmaceutical company in fiscal 2024, which will continue to support AZT PROTECT for 6-figure annually for this customer, as mentioned in the last quarter's press release. Q3 was the first quarter working with the three largest Rockwell resellers, each which does tens of billions of revenue in the U.S. each year. We talked to each of their top executives in July, and the feedback was overwhelmingly positive. So starting, they all feel we're right on track to meet their sales plans for the product, which should see strong expansion within the next 3 to 6 months after laying out the groundwork in Q3 and Q4. One of these resellers is Rexel USA, an industrial leader and supplies industrial equipment throughout the United States. Rexel provides a variety of products to industrial customers across the U.S. and is a premier Rockwell Automation distributor. Here is the feedback, quoting. "We can now see how to properly position this product and unlike other industrial automation products we sell, the sales cycle is much shorter. It gives us a chance to have conversations at an executive management level with our customers. And we are already engaged in opportunities to deploy in large multisite U.S. customers". They also asked for patience as they positioned our AZT for expanding revenue opportunities within their large customer base. CED and Sonepar U.S.A. echoed similar statements, saying they are both excited about the opportunity to grow business in FY '26, now that they have had initial success with selling the product. Based on their expert opinion, they estimate we are somewhere near the end of early adoption cycle and moving towards revenue acceleration. One of our major wins, which was received late in Q2 and announced during the fiscal third quarter, was the initial order was to protect energy management equipment at the -- at each towers at one of the largest cell towers in South Africa. This came from the South Africa distributor, Oryx. Later in the quarter, we announced a follow-up order to provide protection for security camera monitoring systems deployed at the same company's towers. This is an important development as we currently have ARIA team members on the ground in South Africa to foster stronger relationships. Deployment of these AZT PROTECT installation often requires a customized approach for the first deployment. Specifically involved our team integrated our software to be used within the systems and products supplied by other vendors. As a result, the initial deployment process could take longer than we would like. However, once the initial integration is done, the result is a sticky solution that can be deployed automatically across each vendor's customers as they deploy or upgrade their products. This ability to add AZT PROTECT to the company's existing industrial IoT system is a new major driver behind our growing pipeline while facing a market segment with little current competition. What this means is that not only can we expand by protecting cell tower industrial IoT infrastructure in other regions of the world, but also protect the same type of products as they are deployed across a variety of industries sectors. Oryx is extremely bullish on AZT PROTECT and its unique value proposition for large growing industrial IoT markets. Looking at the feedback from the three largest Rockwell resellers in the U.S., combined with the exciting progress with the pioneer in Oryx, we believe we have made tremendous progress and are confident in our ability to maximize our returns from AZT PROTECT. We continue to make prudent investments in the marketing AZT PROTECT, which includes conference participation and attending region events held by distributors to build off their existing customer relationships. We finished the quarter with more than $26 million in cash and cash equivalent, while continuing to invest in our AZT product line. Additionally, we repurchased 19,000 common shares on the open market during the quarter, and the Board of Directors authorized another $0.03 per share quarterly cash dividend. In summary, the TS business continues to generate consistent strong growth while we continue to build our presence with major customers for AZT PROTECT in the HPP segment. Our fiscal fourth quarter at this point is going really well, and we are positioned to finish the year ahead of fiscal 2025. CSPi was added to the Russell 3000 Index, effectively June 30, 2025, as part of the 2025 Russell Index reconstitution, which enhances our visibility among institutional investors. Now I will ask Gary to provide a brief overview of the fiscal third quarter and 9 months financial performance. Gary?
Gary W. Levine: Thanks, Victor. For the third quarter ended June 30, 2025, we reported revenue of $15.4 million compared to $13.1 million for the prior year. Product revenue grew 29% over last year's third quarter while service revenue of $5.3 million was slightly higher than the third quarter of fiscal 2024. Gross profit for the 3 months ended June 30, 2025, was $4.5 million or 29% of sales compared to gross profit of $4.6 million or 35% of sales for the quarter ended June 30, 2024, due to our sales mix and reflects higher component costs in the product side of the business. Our engineering and development expenses increased 7% comparing the current quarter to the prior year quarter due to increased consulting on the AZT product. The SG&A expenses for the quarter were up over the prior year by $0.2 million, largely due to increased sales and marketing expenses related to the AZT PROTECT. We had a tax benefit of $751,000 due to the quarterly loss and a refund of federal taxes for fiscal 2019 of $296,000 in the quarter. For the 9 months, our revenue of $44.3 million was $2.1 million over the $42.2 million in revenue generated during the first 9 months of fiscal 2024. The 9-month income tax benefit was $1.5 million, allowing us to record a net profit of $0.1 million or $0.01 per diluted share of common. The company continues to maintain a robust balance sheet as of June 30, 2025. We had cash and cash equivalents of over $26 million. A higher cash balance relative to our liability, enhances the company's resources to pay a quarterly cash dividend while executing growth, which includes the continued rollout and marketing awareness of the AZT product offering. We spent $251,000 during the quarter purchasing 19,000 shares of common. Lastly, as Victor mentioned, the Board of Directors approved a $0.03 cash dividend for shareholders of record on August 29, 2025, payable on September 15, 2025. With that, I will turn it over to the operator for your questions.
Operator: [Operator Instructions] And your first question this morning is coming from Brett Davidson.
Brett Davidson: Pretty exciting release this morning, awful lot to digest. Gary, you had just mentioned something about consulting expense. Can you guys expand on exactly what that is?
Victor J. Dellovo: Those were consultants that we -- additional engineers to do some additional high-level testing of the product with the -- some of the improvements and enhancements we have made with the product.
Brett Davidson: Is that going to be a recurring thing? Or is that -- that was just a onetime...
Victor J. Dellovo: It's probably be for another quarter.
Brett Davidson: Got it. You announced that there was some sort of lumber mill, concrete facilities. Can you disclose just generally where like the lumber mill is located? Is this a Pacific Northwest thing or...
Victor J. Dellovo: Yes. Yes.
Brett Davidson: Okay. Good enough. And concrete thing, what's -- I mean kind of what does that look like? I mean, I know these things are kind of a regional thing, and I don't know that there's maybe some of these entities, there's some ownership overlap in regional or national, but I think a lot of these concrete plants are local ownership, small concrete plants. So what does the concrete plant business look like?
Victor J. Dellovo: It's just basically doing the same thing, protecting the facilities and the machinery that's being worked on the IoT side, and some of these concrete is like 23 sites for one where we were able to get into one and then evangelize to get into the -- to try to get into all 23 sites. Some of these sites have 10 end points and some of them have hundreds of endpoints. And that's kind of where I kind of gave you, hopefully, way more information to kind of let you know what our approach to the market is now instead of trying to do an 18-month deal that takes -- that might take 18 months for $1 million try to get it seeded and see if we can move things along a little quicker.
Brett Davidson: So are there any other concrete plants or group of plants that you're currently dealing with? Or this is just your entry is just dealing with this one concrete?
Victor J. Dellovo: So the concrete plants -- these customers are coming from the resellers. So when we do a local event, that customer will show up to the regional event. We'll get to talk to them and tell them what we have to offer and then they allow us to come in, do a POC, POV, and then that's where it goes. So it's kind of we're not dictating the customers, the resellers are dictating who they're bringing to the table. Now in our own -- once we have success with that industry, of course, we're going to go out and try to market to that industry because we already have a credible reference.
Brett Davidson: Well, does that back feed through the resellers channels then where they start going back to concrete plants to who are customers are saying, "Hey, these other folks did this, you might want to look at it", or not?
Victor J. Dellovo: I would hope so. Yes, we would hope so. Yes, we would -- we're doing joint marketing events with these individuals based on success we've already happened. So we're talking at high levels at these organizations. So when we do a marketing event, we can do it at the 75 locations instead of just doing it at 1 location.
Michael Polyviou: Yes, all right. Well, thanks a lot for the added color. The release was great. Glad to hear that the current quarter is rocking. So all sounds good to me.
Operator: Your next question is coming from Joseph Nerges.
Joseph Nerges: One quick question. We released this product in, I guess, about July of '23, I am talking about AZT PROTECT. And over the ensuing -- well, I guess now we're 25 months into it, we put quite a bit of R&D. I'm assuming a great -- a fair amount of that R&D is directed at AZT. And -- can you maybe elaborate where we are with that software today? What have we added? What features have we added that might be -- make it a more compelling product today than it was in '23?
Victor J. Dellovo: Okay. Well, the first release was XP to server 2022 and had 1 countermeasure to stop ransomware, malware. Today's version, it's Windows and Linux, all the way XP to 2025 releases and its one universal agent to both Microsoft and Linux. It also has AMcore support now, which the old version did not. This has 14 countermeasures compared to the 1 to stop all forms of like code-based attacks, including nation state. It also has the USB lockdown. It also has a host-based micro segmentation to remove threats of lateral movements. It's also integrated into IT SIMs. So that was there. And there's probably another 30-plus little additions that customers wanted. So yes, there's been a lot of changes from version 1 to this version. So that's where a lot of the R&D is. And a lot of this came from what customers' needs were, right? So we feel we're in a pretty good position right now.
Joseph Nerges: I'm assuming that we -- there's not too much that we can't do. You kind of mentioned in the cell tower application, that that's something quite different, right? A little bit where we were talking about the black box being or the microcomputer that was on these towers was very small CPU capacity, limited storage and our software kind of worked. But are we tweaking our software at all to work with that environment, that -- are we doing any R&D to make that work?
Victor J. Dellovo: Yes. We're actually doing -- yes, we have to make some changes because what we're doing is, I don't want to give too much information about -- we're going to be loading it at the facilities when the box is being burned in at the core. So we had to make our software work as they build the gold image that rolls out these systems. Same thing with the cameras, the same thing with there. So it's all Linux based on Linux -- different versions of Linux. So yes, there's been some work, it hasn't been a lot for us to do, to be honest with you, but working with third parties that are in other countries has been the difficult part, getting them to move as fast as we move here. But the work hasn't been overwhelming for our engineers. Let's just put it that way.
Joseph Nerges: But -- and you kind of alluded in your presentation that what we're doing might be something that we can utilize in other areas or other customers, that maybe our competition can't. Am I correct and that's what you kind of alluded to in the...
Victor J. Dellovo: Yes, absolutely. Yes. And that Linux space that we're at, the way we're doing things, no one else is doing it, the way we're doing it right now. So that's why we have -- the people we're working with, Oryx is very excited with the way we go to market and then we were able to work with their end user customers. They're talking about putting this out to tens of thousands of cell towers over the next 12 to 18 months.
Joseph Nerges: And I'll just one more follow-up. There's a third party here, there's obviously the cell tower, there's a visual security. But again, we go back to the black box...
Victor J. Dellovo: Yes, there's a third-party that makes that box.
Joseph Nerges: Yes. Do we know whether or not there are -- those boxes are being utilized outside of the cell tower industry. Do we know that other customers...
Victor J. Dellovo: Yes. Yes.
Joseph Nerges: Is there a possibility -- is there a possibility of working with them?
Victor J. Dellovo: Correct.
Operator: [Operator Instructions] Our next question is coming from Mike Price.
Mike Price: You mentioned the early success for Oryx, so you talked about the resellers for Rockwell. But what about some of the other resellers? I would have thought, in particular, UFT protecting water facilities would have been a big one, but you don't talk about that at all.
Victor J. Dellovo: Yes, we could talk about that, too. Yes, we've made some progress with them. Under some NDA stuff, I can't tell you much more, but we are making progress with that. There's a way we had to go to market with that company and we kind of -- there was a bunch of legal stuff that had to get situated. So we kind of pushed through that. And yes, we're definitely making progress with them, and we look forward to some real success in 2026 in our current year.
Mike Price: Okay. And you once identified the OT market as being potentially $50 billion and all along, I thought that when this catches on, there's going to be exponential growth. Do you have any projections going out 12, 24, 36 months as far as AZT revenues? I mean here we plot along, it's -- yes, it's what, an 8% increase in revenues for CSPi for the quarter. But you're talking about $15 million and in the whole space, it's a negligible amount. Do you have any projections that you can give us, what you're thinking longer term?
Victor J. Dellovo: Not that I'm willing to share. No, we have them internally.
Operator: There are no further questions in queue at this time. I would now like to turn the floor back to Victor Dellovo for closing comments.
Victor J. Dellovo: Thank you. I want to thank our shareholders for their continued interest and support. We have momentum heading into the end of the fiscal year due to some recent contract wins and the increased activity we are experiencing and encouraging. The resellers are helping raise AZT PROTECT game and it's becoming more widely known and the relationship with Rockwell ensures this will continue. Our goal is to go out there with maximum effort, close deals and once installed, grow that base as we are demonstrating with the South African cell tower company. We're fortunate to have the TS business that generates the profit to fund the ARIA business, and we look forward to updating you on our progress during the fiscal fourth quarter and full year call in November. Until then, stay safe.
Operator: Thank you. This does conclude today's call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you once again for your participation.